Operator: Good morning. My name is Andrew, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ritchie Bros. Auctioneers' Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now turn the call over to Mr. Zaheed Mawani of Investor Relations to open the conference call. Mr. Mawani, you may begin your conference.
Zaheed Mawani: Good morning, and thank you for joining us on today's call to discuss our third quarter 2018 results. I'm joined this morning by Ravi Saligram, our Chief Executive Officer; and Sharon Driscoll, our Chief Financial Officer. Also with us today for the Q&A portion of the call will be other members of the leadership team. The following discussion will include forward-looking statements as defined by the SEC and Canadian rules and regulations. Comments that are not a statement of fact, including projections of future earnings, revenue, gross auction proceeds and other items, are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our SEC and Canadian Securities filings available on the SEC and SEDAR Web sites, as well as our Investor Relations Web site at investor.ritchiebros.com. Our definition of gross transaction value may differ from those used by other participants in our industry. It's not a measure of financial performance, liquidity or revenue and is not presented in our statement of operations. Our third quarter results were made available yesterday evening after market close. We encourage you to review our earnings release and Form 10-Q, which includes our MD&A and financial statements which are available on our Web site as well as EDGAR and SEDAR. On this call, we'll discuss certain non-GAAP financial measures. For the identification of non-GAAP financial measures to the most directly comparable GAAP financial measure and a reconciliation between the two, see our earnings release and Form 10-Q. Presentation slides accompany our commentary today. These slides can be viewed through the live or recorded webcast or downloaded from our Web site. All figures discussed on today's call are in U.S. dollars unless otherwise indicated. I'll now turn the call over to Ravi Saligram, our Chief Executive Officer. Ravi?
Ravi Saligram: Thank you, Zaheed. Good morning everybody and thank you for joining our third quarter earnings call. GTV growth in the third quarter was up 2% with agency proceeds improving and growing 13% versus prior year. Our focus on new business, leveraging our large loyalty customer base and executing our multi-channel strategy in a tight supply environment resulted in strong revenue and agency proceeds growth, the sequential improvement in our options and marketplace as revenue [mix] [ph]. Agency proceeds growth was driven by strong online performance, solid industrial live often performance in Canada continued growth in our services business and the partial buyer fee harmonization on live auctions offset by softness in the Canadian agricultural business and fewer live industrial auctions. We are pleased that our online marketplaces showed a second straight quarter momentum with 16% GTV growth. Total company agency proceeds growth coupled with disciplined expense management improved our operating leverage, which contributed to doubling our diluted adjusted earnings per share versus last year to $0.18. Let me review some of the third quarter highlights and provide some additional color on the quarter. First, our U.S. business had another positive quarter generating double-digit agency proceeds growth, key factors influencing the U.S. business was strong performance for live auctions in the Western region, growth in strategic accounts, momentum on the weekly featured online auction, the resurgence of Cruise live auctions and the partial buyer fee harmonization. Specifically, we delivered double-digit GTV growth in our weekly featured online auction. I'm pleased to see this progress and momentum building as our teams continue to embrace a multi-channel strategy and we have achieved nearly 100% participation from our core U.S. territory managers on our online weekly feature event. Regionally, our Western region delivered a strongest U.S. GTV performance with over 20% total growth over prior year. Our strategic accounts team has continued the momentum of a very strong second quarter once again delivering nearly 20% GTV growth in the quarter as they increase volume with new acquisition accounts, leveraged upstream selling opportunities and continue to see strong performance in the construction and rental sectors. And finally, yet another positive highlight from our U.S. business for Kruse energy performance. In the third quarter, our Kruse business delivered a highest GTV quarter in 2018 growing by over 60% in the quarter on the back of a very successful major auction in September. Agency proceeds for our Canadian business was also up double digit driven by the continuing industrial market recovery in Western Canada with strength in our Edmonton and Saskatchewan yards, the benefit of the delayed Q2 Grand Prairie option volume to Q3 and the impact of the buyer fee harmonization. Offsetting the positive growth was softer performance in agriculture driven by fewer on the farm auctions and lower market pricing. Canadian online performance was strong in the third quarter and we're pleased to see good acceptance of Marketplace-E. Importantly, our TMs are beginning to leverage our multi-channel assets to drive incremental volumes from new customers who might not have a strong affinity for the live option. International continues to be a growth opportunity and in the quarter we transacted a few large inventory deals from Africa, Turkey et cetera, which favorably impacted revenue growth. The key featured online auction and Marketplace-E delivered substantial online growth of over 50% versus Q3 last year albeit on a low base. Marketplace-E in particular is gaining traction in several geographies. Japan continues to be a bright spot and we've had another strong live auction in the retail as a result of our capital alliance. Looking now at our third quarter auction highlights 60% of our live industrial auctions showed year-over-year growth versus Q3 last year with our average GTV per industrial auction on a trading per month basis being up $2.9 million or 18%. Our live auctions -- live onsite auctions all increased in vocational and over the road trucks as part of our total mix in North America. While our international regions saw an increase in construction equipment mix in the quarter, the age of the truck also continues to influence our GTV. The percentage of improvement in our sweet spot of three to five years is down roughly 190 basis points year-over-year as late model equipment continues to be impacted by most of the strong economic conditions in the U.S. and higher utilization rates in the rental sector. A notable U.S. auctions include our Los Angeles auction which delivered 85% year-over-year growth. Our Denver auction with 66% growth and our northeast Maryland auction posted $30 million in GTV and 30% year-over-year growth. Our Canadian team conducted $29 million auction at our Grand Prairie site along with a $32 million auction in Toronto generating 19% year-over-year growth. The Toronto auction was the largest third quarter auction over at that site [indiscernible] with a number of lots sold for all of the road trucks. Stripping out the unfavorable impact of foreign exchange, our Q3 Edmonton auction drove nearly $80 million of GTV and delivered 5% growth in local currency. Internationally our Moerdijk Netherlands auction drove $39 million of GTV and posted 16% growth over the previous year. Also as I mentioned earlier, our Kruse energy option was very successful with 61% growth and sold a drill rig for $5.5 million. That's right, $5.5 million, the most expensive drill rig ever sold by Kruse. Overall, our third quarter had a number of positives as we grew our top-line and improved both earnings and operating free cash flow with better operating leverage. Our services business continues to deliver the strength. And I'm pleased to see our online momentum building each quarter as well as our overall TM productivity sequentially improving again in the third quarter. With that, let me pass it on to Sharon.
Sharon Driscoll: Thank you, Ravi, and good morning everyone. As we turn to an overview of our Q3 consolidated financial performance, our strong revenue and agency proceeds results as Ravi has already outlined combined with disciplined expense management during the quarter contributed to our delivery of $32.7 million of adjusted operating income. This is an improvement of 93% over last year after adjusting for $1.5 million of non-recurring acquisition related costs due to synergy and cost actions taken in the quarter. Our diluted EPS of $0.21 improved 133% over last year and includes a $4.9 million gain on the sale of our minority equity investment in machine partially offset by the $1.5 million in acquisition related costs I had mentioned earlier. Excluding these two non-recurring items, adjusted EPS was $0.18 for the quarter compared to $0.09 in the third quarter of 2017. Overall, we are very pleased with our earnings per share growth and the improvement in operating leverage resulting from our disciplined costs focus in the quarter. Turning to our A&M segment agency proceeds, auctions in marketplaces agency proceeds rate grew 11% in the quarter driven by strength in our online performance. Strong price realization, the favorable impact of the partial fee harmonization and Kruse energy performance. On a rate basis, our A&M agency proceeds rate improved 110 basis points to 13.9%. The year-over-year rate improvement was driven by the continuing strong pricing environment and the favorable impact of the partial fee harmonization implemented in the first quarter. Also growth in our inspection fee revenues and growth in marketing base consignor agreements providing fee revenue with LGTV such as a Brazil deal which Ravi will address shortly on this call benefited our overall auctions in marketplaces agency proceeds rate. Turning now to our other services category, our Ritchie Brothers Financial Services revenue were $4.8 million up 40% versus the prior year with funded volumes up 32% to $85.6 million. Ritchie Brothers Financial Services continues to deliver profitable growth, and I'm pleased to say with the RBFS revenue growth this quarter, it marks the 26 consecutive quarter of double-digit revenue growth. We will continue to invest in RBFS as we see this as a critical value-added service for our consignors and a key driver of overall revenue growth. Mascus also generated strong revenue growth in the quarter of 15% to $2.8 million with our ancillary businesses also up 3% this quarter. Overall, we continue to be very pleased with the performance and growth of our services business. Moving on to expenses, cost of services and SG&A expenses combined increased 2%, cost of services decreased 1% to $33 million primarily due to the lower live auction activity in the quarter and lower costs required in our ancillary and logistics service businesses. Our SG&A increased 4% driven by investments to operationalize our new GovPlanet surplus stock contract with the DOA, higher share unit expenses and volume-related expense growth. Offsetting these increases were general cost decreases in professional services and administrative costs. Overall, we are encouraged by the fact that total revenues and agency proceeds growth nicely outpaced our SG&A expense growth. On a rate basis SG&A was 55% to total agency proceeds down roughly 500 basis points from Q3 of last year. And on the lower end of the range of 55% to 57% that we shared during our earnings call last quarter. We've taken positive steps over the past few quarters to thoughtfully manage our expenses and we'll look to continue to implement efficiencies throughout our operations and functional cost areas to drive greater revenue flow through and improved profitability. Business delivered a 320 basis point improvement to our nine-month agency proceeds adjusted EBITDA rate to 33.9%. Going into the fourth quarter we are planning to make some investments in SG&A to support GovPlanet as well as marketing and digital investments to support sustainable growth in our online channels and recently launched RB Asset Solutions. In addition, we also expect higher incentive compensation costs over last year due to the improved business performance in 2018 Although we do not offer guidance for your models, we expect continued leverage on our SG&A rate as a percentage of agency proceeds. As such in the fourth quarter of 2018, we expect a rate improvement of between 50 to 150 basis points versus our fourth quarter of 2017, which had an SG&A rate of 52%. Turning to our balance sheet and liquidity metrics. Our trailing 12-month operating free cash flow of $107 million improved from $81 million last year. The improvement was driven by higher net income partially offset by an increase in inventory balances related to our GovPlanet surplus stock contract and international inventory contracts. At the end of quarter 3, we converted the IronPlanet Financial System onto the Ritchie Brothers Oracle platform. To derisk the transition, we accelerated payments to trade vendors contract inspectors and auction consignors which had a minimal but negative impact to the quarter's working capital position. I'm pleased to say that the system conversion is now complete and for quarter four we are integrated. on one financial platform. I'd like to express my sincere appreciation to the finance and technology teams that were involved in the success of this conversion. Our agency proceeds CapEx rate of 5.5% was down roughly 30 basis points versus 5.8% last year. This continues to be below our evergreen model maximum of 8.5% of agency proceeds. Our CapEx investments in the quarter continue to be focused on technology investments led by our MARS platform initiatives, backend infrastructure integration is just discussed and investments to support the implementation of the GovPlanet program and related warehousing facilities. Long-term debt at the end of the quarter was $752 million with a weighted average annual interest rate of 5%. Our favorable operating results in the quarter together with our debt repayment year-to-date has resulted in an adjusted net debt to adjusted EBITDA ratio of 2.2x, which is well within our evergreen target of below 2.5x. With our strong cash flow characteristics, we remain focused on debt reduction and further strengthening of our balance sheet providing us with the maximum financial flexibility while reducing our interest expense. Overall, our positive third quarter financial performance reflects the continued progress we are making as a combined company to deliver value to our consignors and build a scalable organization to improve shareholder returns. And with that, I will turn the call back over to Ravi.
Ravi Saligram: Thank you, Sharon. Our third quarter had a number of positive operational highlights. And I'll speak to a few here. First, our GovPlanet business is now actively scaling up in terms of surplus option inventory and merchandising capabilities after fully operationalizing our non-rolling stock distribution centers last quarter. Our key priority now is to start disposing off the accumulated non-rolling stock surplus inventory using the full force of Ritchie Brothers multiple channels and marketing muscle. We have initiated a Tuesday online GovPlanet auction dedicated to non-rolling stock, while continuing the Wednesday auction for rolling-stock such as [indiscernible]. I'm also pleased to announce that on December 7 night, we will plan a very special dedicated live auction in Las Vegas and Atlanta featuring over 10,000 non-rolling stock surplus items including furniture, tents, exercise machines and medical equipment. The live auction option would be in conjunction with the weekly online auctions. This will be the very first time that we use those live and online channels to dispose non-rolling stock and it should be a massive event. We're also building on -- we're also working on building the state, local and municipal business in addition to our efforts in the federal and defense spaces. In the third quarter, we successfully executed the first GovPlanet live auction event for the state of Pennsylvania selling more than 350 equipment items and trucks but that reserves in a single day with bids being made both onsite and online. Being able to expand the services we can offer state and local governments through both online and live auction options gives our customers absolute flexibility and the best of both worlds. The progress we're making with our government business is exciting because the investments we're making now position us extremely well in this space for future growth. Second, the [indiscernible] and relationships with the dealer networks continue to build positive momentum. We are targeting the Cat dealers on a global scaling basis to drive value for both organizations. In addition to our successes this year in Japan, our international team partnered with Cat dealers in Brazil to orchestrate a very unique Marketplace-E dealer event. We partner with two major Cat dealers in Brazil who featured some of their best used equipment for the short MP event. The event was online but the footprint was merchandise from the dealer's yards. The cat dealers were able to leverage our global buyer base, our marketing prowess and use the reserve pricing functionality to retain control and did not have to move the equipment. We were able to leverage our existing app assets and penetrate and create a new country expansion opportunity without actually entering it. Yes. That is we did not have to invest in overheads and experience all the trials and tribulations of entering a new market. I understand that this model was a marketing fee agreement so we did not count the GTV for this and there'll be several such deals in the future. Now, I'd like to spend a few minutes sharing the news of our official launch of RB Asset Solutions. We've previously discussed this concept with our investors using the generic term platform solutions as a major upstream opportunity for us. Since the close of the IronPlanet transaction, we have been developing this unique platform by fusing together our Mascus equipment on IronPlanet Technologies and I'm pleased to say that on October 2, we officially launched the solution. RB Asset Solutions provides an innovative SaaS-based offering to our customers leveraging the power of our technologies, global reach and network effects driven by a platform it affords our customers optimum flexibility and ease of use in disposing their equipment either on their own, selling directly to affiliated customers or cascading through any of our multi-channel solutions while optimizing price realization. In addition to our superior technology, RB Asset Solutions based on relative services had just RBFS financing equipments, health inspection capabilities, our RB auction yards for storage and asset appraisal services for obsolete returns. We are truly the one stop shop for enterprise and retail customers looking to maintain control of their asset disposition, but having the flexibility at their fingertips to leverage the full power and breadth of the RB enterprise toolkit and our network effect. At the heart of the solution is the relationship aspect, we believe RB Asset Solutions with its unique way of connecting with customers will result in stickiness and enduring customer relationships and further accelerate our network effects. Our platform will allow customers to leverage RB Asset Solutions to be their inventory management system with access to robust data to help customers manage their assets pricing and optimal timing of disposition. We are extremely excited by the launch of this capability and I'm pleased to say that it's beyond data and it's already live with a few major OEMs and strategic accounts. We aim to develop a total of 15 to 20 flagship reference accounts during the course of 2019, but ultimately RB Asset Solutions is the ultimate strategic partnership solution right upstream with retail and enterprise customers. Let me conclude the call with a few comments on fourth quarter. In fourth quarter, we expect supply tightness to continue and 2018 macro trends to persist. However, we are cautiously optimistic that the tide will start turning in 2019 and we will face less of headwinds and supply will start to loosen them up. Let me give you a few reasons for our thinking. First, OEMs believe they've started catching up on light equipment production. Heavy equipment such as excavators still be an issue. They also believe that they've started catching up on production internationally including a show Australia et cetera. We've already evidenced this with positive GTV growth internationally and in Canada in third quarter across all channels. OEMs have ramped up production. The challenge now is more on the part side. Second, based on conversations with OEM dealers, rental customers and their users, we believe that fleets are aging in the field and I mentioned earlier the equipment that's coming to us and they will need to be replaced. So we believe 2019 this will start occurring. The rental customers would stop replacing their very large fleets that have been used and worked on with high utilizations. We're already seen an up tick in our strategic accounts with our rental customers. Having said all of this, we are as an organization focused on what we can actually control. We will continue to leverage our large loyalty customer base of cross-selling multi-channel opportunities. You may be pleasantly surprised to learn that over the last five years, 57% of our RBA live auction GTV has come from our loyalty customers. We define loyalty customers as those who've done business with us on a recurring basis for the last three years. In fact, every year we generate significantly over $2 billion of GTV from our loyalty customers. Our loyalty customers even need supply constrain times at our foundation and make our business more predictable than is commonly assumed. At the same time, we continue to be relentless on hunting for new customers. Historically, on our live auction business every year nearly 43% of GTV comes from acquiring new customers. Our mission now is looking for new customers for whom our weekly auction and MPE channels meet their needs [beat fostered] [ph] over cash not wanting to move equipment or control pricing. Our teams are also focused on finding new consignors in the federal and defense agencies and with state and local governments. We will also continue to be aggressive in making the appropriate tradeoffs between rate and volume, so that we start getting some acceleration on GTV. We are also committed to delivering on important synergies which is now running at a rate of approximately $25 million in 2018 as well as controlling expense growth. Our aim is to get SG&A growth to be at half the rate of agency proceeds growth during the course of 2019. However, we also want to invest in a few proven growth drivers maybe GovPlanet, Marketplace-E and RBFS. We need to keep investing and building a strong buyer base for government surplus items, which are different from our regular equipment. But marketing muscle to increase differentiation for Marketplace-E to improve yield and kill rate and achieve price realization higher than the auction channel and continue to invest in sales people for Ritchie Brothers Financial Services on a pay as you go basis. In addition, we'll have some additional investments for our RB Asset Solutions for its long-term rollout. These investments, I am confident will result in sustainable profitable growth. Finally, we're excited about a number of promotions and special events we are running in Q4 to drive GTV. Let me highlight a few. We're running a 50% off our commission for first time sellers cap of a thousand dollars as part of our new customer acquisition initiative. We're running a special cat dealer event on Marketplace-E internationally and in Mexico featuring excellent cat get to help with the disposition of year end inventories. We're also running a Las Vegas Truck live auction in December on online North American Quarry & Aggregate auction online on November 14, a mid-November North American Marketplace-E crane sale at IronPlanet year-end sale on December 20 and 21. You can see it's all about execution. I just want to say we've created an incredible platform with the right live option network, online sites, technology that's becoming a competitive advantage and most importantly the very best passionate people in this industry. I want to thank each and every one of the 2,100 Ritchie Brothers team members who made second quarter and third quarter a great quarters in extremely difficult conditions and they have really executed it from the bottom of my heart. I'm grateful for their efforts. And with that, we're ready to take questions. Operator please open the line to questions.
Operator: [Operator Instructions] Your first question comes from the line of Derek Spronck with RBC. Your line is open.
Derek Spronck: Good morning. Thank you for taking my questions. Now, for next quarter arguably you'll be lapping the IronPlanet, how should we be thinking about GTV growth in the fourth quarter and into 2019?
Ravi Saligram: So, Derek, in terms of fourth quarter as I mentioned in my prepared remarks, the trends are what you see throughout the year. We've not seen a significant change in those trends. In terms of any significant loosening of supply but we are very focused on a lot of things to try to drive GTV. I do have a different or a more cautiously optimistic perspective on 2019. I believe I enumerated a number of those, I do believe that the situation cannot go on forever before completes our ageing. And OEMs are beginning to catch up. Already internationally we're seeing that catch up occurring and we have pretty good GTV, Canada things are looking up. So U.S., the economy is so hot and the demand is so high. That's where there've been some challenges, but even there we've seen our rental customers. We saw real good growth, so I think 2019, I really feel the tide will start turning. The important thing is that it does disproportionately. We are so prepared. This company is right now so strong that we will start getting that. But having said it, we are very focused on what we can control. We've got a number of initiatives in fourth quarter and we have got a very good operating plan for 2019 really laser focused on execution. The last thing I'd like to mentioned Derek is GTV is very important. But I would still say agency proceeds, this business is changing now. The Brazil event, we didn't record GTV. There's several others like that. So I'm not in any way diminishing the GTV, but this business and our services business look RBFS, 26 quarters of growth, you don't see GTV but it's helping agency proceeds. So ultimately agency proceeds is what flows through to EPS. And so I think that is what we want to get focused on, in no way am I being defensive about the GTV, but just saying look this company is changing and we just need to be kind of broader in our thinking about how we view it.
Derek Spronck: Okay. Now, that makes sense. Thanks for that Ravi. Just quickly before I turn it over on, RB Asset Solutions is that a subscription base opportunity or a fee based kind of like a consultancy base or is it just more of a customer retention type tool?
Ravi Saligram: I think all three of those Derek. First, it is a SaaS-based fee-based subscription model and they can buy different modules or collectively all of it. And this way we are into their ERP system to create a lot -- create a lot of stickiness which is why the attention. But importantly we are also giving them inventory management tools that they can either choose to have, so let's say it's a OEM, we can create whole private dinner event for them where they can first sell it to dealers. If that doesn't work out then they can stop cascading it to our challenge any of those. They can first say, hey I want to put a reserve and put it on Marketplace-E. Let's see how it does. And if that doesn't work out for them they can put it into the live auction or the weekly. So we've been on both ways, on three ways. One, we get a SaaS-based fee model and that to me is really the opening the door and building the relationship and getting sticky. Second because we don't want to compete with retail customers and OEMs, we want to be more in the middle with competition at an auction site. We want strategic partnerships at the top of the house. And this is the best way which is leveraging both our buyer base, our technology, our network effects. So you start with the SaaS model that is -- that it's just an entry level that's not for the meaningfully drive-off the revenue side. But the important thing is, it gives us a lot of opportunities for the cascade to occur on the transactional side. That's why it's a beautiful, beautiful thing. Now, it's going to be long-term. Don't expect that this overnight. That's why we've said 15 to 20 reference accounts, but long-term I am so excited about this because this changes a very complexion of the company and allows us to start capitalizing on that whole big upstream opportunity that we've talked about.
Derek Spronck: Okay. Well, thanks for the additional color. I'll turn it over there. Thanks.
Ravi Saligram: Thank you so much Derek.
Operator: Your next question comes from the line of Cherilyn Radbourne with TD Securities. Your line is open. Cherilyn Radbourne, your line is open.
Cherilyn Radbourne: Thanks very much and good morning. So it looks like the shift of the Grand Prairie and Moerdijk auctions into Q3 from Q2 had a pretty big impact on the quarter. So I wondered if you could just speak to the Q4 auction calendar and whether there's any similar shifts that we should be aware of.
Ravi Saligram: Jeff or Karen if you're on the line anyone want to give a view on that because we do -- we have a number of geographies Cherilyn. We've been shifting things around as some quarters having fewer options versus this and we'll think about whether we can put that on the Web site or something. I don't know that I have it off -- right off the back to give me an answer.
Cherilyn Radbourne: Okay.
Ravi Saligram: One second, Cherilyn. I think one of my team may -- been here.
Jeff Jeter: I mean Cherilyn, I think the one Ravi mentioned, I mean we -- there are some things that are added to Q4, we added a truck event that we're doing in Vegas. And Ravi also mentioned the two events in Vegas in Atlanta for the golf business. So there are movements that do happen but other than that I don't think of anything other meaningful in that regard.
Ravi Saligram: And we have certain online events that I've talked about Cherilyn on MPE, these cab dealers and the other MPE events that they're doing. So we can get back to you on that and maybe put something on the Web site.
Cherilyn Radbourne: Okay. Also wanted to ask about the inventory deals in Europe and just why you think consignors did not market -- during Q3 more willing to do inventory deals versus in North America.
Ravi Saligram: Karl, you want to comment on that please.
Karl Werner: Sure. It's Karl Werner. We've leveraged a few situations in different countries and not in detail but in Africa and we had some in Southern Europe where there are some financial issues, economic issues that we're going in and actually assisting different OEMs and dealers in those areas and helping them move inventory from a less popular market into Europe where we're seeing some more brisk sales. Does that help a little bit?
Ravi Saligram: Cherilyn, let me just add the economy in -- so all deals are big -- big deals that Southern Africa, we did a major deal of some equipment that had been bought and hadn't got used in many years. We found that we work through the Cat Alliance and help get that. We're also seeing deals in Turkey and as you know Turkey's economic situation right now is quite bad and unfortunately or fortunately for us from our model and things are difficult, we are there to help consignors. The contrast in the U.S. is the economy is so hot so, that's why people need every piece of equipment to utilize them on their jobs. That's the contrast. So, and that's why you're seeing bigger deals and now with Brexit and stuff there could be more loosening of that internationally. And the key is, we are a global company, so we leverage wherever there's opportunities. We go leverage this.
Cherilyn Radbourne: Great. Thank you for the time.
Operator: Your next question comes from the line of Steve Vokmann with Jefferies. Your line is open.
Steve Vokmann: Hi. Good morning, gentlemen. Can you hear it? I apologize but I'm still trying to get my head around sort of how you're thinking about the fourth quarter Ravi because if you're talking about sort of similar trends in GTV and does that mean sort of up 2% is what we had in the third quarter and yet you've listed kind of a plethora of additional opportunities in the fourth quarter relative to new ways to kind of get equipment out whether it's the military stuff or the cat end of year auction et cetera, et cetera. So you've listed a couple of auctions on the site already, some of the big ones that look like they're kind of up double digits year-over-year as well. So I guess I'm just trying to get my head around what we really should be thinking about for the fourth quarter, sorry, it's a long question.
Ravi Saligram: No, no that's a fair comment, Steve, but here let's separate out the two issues right. One is my comments are more -- the market in terms of trends, it's -- we are not getting anything handed to us on a plate. It's right now hand-to-hand combat in the field. Our teams are trying to get every piece of it and we will do whatever it is to unloosen it. So there is no help from the market is what I mean. And I don't think you will see in fourth quarter where we're saying it's similar to what we've seen throughout the year. And that's not trying to give you any guidance on it's a 2% or 3% or whatever. I'm just saying look at the year-to-date and the market is reflective and of that. In fourth quarter as we are gaining momentum on execution because we can only focus on what we control. We're doing everything possible to drive volume and so all the promotions listed are all there to enhance logging. So a lot depends on -- we are creating the most positive conditions possible for consignors to give us a equipment. But at the end of the day, it all comes down to supply versus demand because if a customer is utilizing the equipment and feels he cannot get replacement of unit to replace it then no matter what promotion we give they're not going to be in use to part with it because it's their livelihood. So that's sort of the challenge we're facing. But I just wanted to say look we're doing everything we can because this is just a reflection that it's now a hunting organization and a very aggressive marketing organization because we're just saying hey this supply stuff is getting normal, we better really be aggressive and put everything we can to drive that. So we'll just have to see how that transpires.
Steve Vokmann: Okay. All right. I guess that's helpful. Was there anything in your mind that was unusual about Houston or Edmonton which you've already sort of told us about which looked like they were quite strong this year versus last year?
Ravi Saligram: I think what's happened is, we've reduced the number of live auctions this year. I think significantly one because of the five sites. So that in itself I think reduced the auction count by about 14 auctions. And we also streamlined where in some places we used to have five, we've had four somewhere. We have four we went to three just to have bigger auctions. So I think that those sorts of operational changes as well as hunting these better sites and I think people are going -- with the closed sites they're going to solve the bigger places where they can get bang for the buck. So I think it's just saying we're executing better. And so but not necessarily reflective that the macro has changed.
Steve Vokmann: Okay. All right. That's helpful. And then, finally, just on the A&M emergency proceeds rate that was higher than what I was looking for and I guess it sounds like you had a little bit of tailwind from Brazil. I don't know if you want to put any numbers around that but is there a change in thinking about sort of the normalized range for that rate going forward.
Sharon Driscoll: Yes. Steve, it's Sharon. I think just to put Q3 into context, Q3 is a relatively small quarter for us anyways. And so as a result, when you have a deal like Brazil, are you're getting incremental revenue on kind of the existing RB Asset Solutions that's showing up in options and marketplaces. They just have a bigger fee impact on that lower GTV type volume. So it was really not prepared right now to change kind of the range that we've given. We just see we're very pleased with the strong performance that we had in rate. But again, it just takes one deal to kind of shift that profile. So certainly we're comfortable with the range that we provided and we will endeavor to provide as good a rate as we can with the deals that come through in each quarter.
Ravi Saligram: So let me just add a couple of quick things on that, one is, we've said 12.25 to 13.25, year-to-date if you look at it where I think -- 13.6 into the trailing 12 months, we are 13.4. And so, when we give this rate guidance, we want to say -- we're not trying to give you a quarter-to-quarter because we said we stop the quarterly volume. It's more where do you think the rates can go. And look we want the flexibility to be aggressive about getting deals. We don't want to hamper our people just because we don't have a rate problem today. We have volume issue. So we want to be able to get the deals. And then, as Sharon mentioned, look on some European deals, we have some softness on the office. You never know how it goes. So I think at this point it's a fair number. We'll keep trying to beat it because that's in all our interests and it's a good cushioning versus the volume side. But I don't know that we're prepared right now to say look let's increase it.
Steve Vokmann: Okay. Thank you.
Operator: Your next question comes from the line of Michael Feniger with Bank of America. Your line is open.
Michael Feniger: Thanks guys. Thanks for taking my question. Just on the rate you just mentioned obviously the goal is to increase penetration of the overall market. And you mentioned how it's not just a rate story. And when we think of next year with volumes hopefully should be picking up. I mean could we be thinking there's going to be maybe even a moderation on the rate side because we'll be lapping some of this fee harmonization, or could we be in an environment next year where you're just seeing volume up end rate down. We're just hoping you could talk about those two dynamics as we look into 2019?
Ravi Saligram: Good question, Michael. I think it's -- that's why we've given that 12.25 to 13.25 range. And we came there to thirteen point two five range and we think that will adequately cover at this point unless there is a wholesales shifting of the market and pricing starts dancing or something which we don't see at this stage. I think we're in good shape. I think what's the thing that we're very keen on doing is getting our at rest volume back up to normal levels. Like this year, I think we're running at about 16% and in our heyday just two years ago, it was like 33. So we want to get that bounced up and typically we do pretty well on this. So I think on the whole it's a good range and our hope is that with decent rates and guys you may not get the harmonization thing you will not get the lift again, but it's not going to go away. So either way, I think that's why the key is to look at agency proceeds versus getting hung up on either rate or on volume. But look at it with totality because our job is to balance both and to make sure as long as we keep our customers happy which is the most important thing and drive agency proceeds and keep our cost at half the rate of ad agency proceeds growth then I think you have great flow through which is what makes this model great because it all turns out to talk free operating cash flow.
Michael Feniger: And I might have missed this, but the fee harmonization, so we could provide a little bit more color around that. Obviously, I think you instituted at the beginning of the year how much has that played a part into that 13.6% you said year-to-date, you guys have achieved how much can you attribute to that fee harmonization and when do we finally kind of lap that. Thank you.
Ravi Saligram: I think we were not prepared to comment on the specifics on that. Suffice to say it's had a positive impact and it is recognized only on the live auction site because it was harmonizing to the IronPlanet site. And it was instituted in January, so you will -- lockers begin in January.
Operator: Your next question comes from the line of Larry De Maria with William Blair. Your line is open.
Larry De Maria: Thanks. Good morning everybody. I actually had a question on technology and data, are you going to find any more ways to leverage your data and technology ended up playing out yet in the numbers. In other words, I'm thinking maybe private labeling your auction and online marketplace solutions, if that's meaningful? And secondly, are you weighing more business because it's easier for RBA and giving you a better predictive pricing and processing. Or is it more of a 1920 driver as you guys integrate all your systems and stuff. So just curious how you guys are leveraging data now and if it's meaningful and what success rate you're having?
Ravi Saligram: So I will kick it off and then I'll see if Matt actually is on -- if Matt not on the call, I can just cover it. Here is -- there we've created a strong data analytics team, the guy who heads it, Ken has just finished a course in artificial intelligence and machine learning from Stanford. They have got some great titles to dissertation and stuff. So our first priority was taking final data in and once you've got this data merging all of it, cleaning it up creating a data lake et cetera. So that's easier said than done and we've done a pretty good job. We're also creating common taxonomy so that's all been in the works for the last year. In that now we've created some very good algorithms on pricing and that pricing tool is a part of our being absolute solutions that we're now selling to customers as part of our SaaS-based solutions. We're also using it internally. So let me illustrate, on Marketplace-E, when our territory managers bring a certain item and want to price it say at 50,000 because the consultant thinks it's worth 50,000. But if the history of that particular item is itself -- the algorithm spits it out and for the make model year and then we're able to use that data to convince the consignor. Look just because you want it to be 50,000 doesn't mean the market's going to give you that and you improve your kill rate and yield, if you can put it at the right pricing. So we are using that as well as a way on the weekly auction where we set the entry price because it's unreserved at the floor. How do you do that? And we use pricing algorithms to say where should that be. So a lot of this is first internal to get better price realization and make our consigners happy. Second as a monetization tool, we're now beginning to sell at RB Asset Solutions. In Mascus, we're selling depreciation curves. So there's a lot of stuff and long-term, I think that it's both internal and external that keep building on it. So this is RB Asset Solutions. Absolutely would not have been possible without technology and we have taken and merged the best of our three technologies and launched it. I'm very excited about that direction as well. And it's a long-term initiative, but I think it'll change the complexion of our company.
Larry De Maria: But is it safe, is it -- descriptive answer. Thank you. Leading to more volume for you now and a competitive advantage or is it still relatively early?
Ravi Saligram: I think it's too early Larry to say that because look the first step is to get sticky and build up. We've done that with a few customers, but we also have evidence with those customers that it does result in transactional volume. Now the job for us is to scale it. That's a couple of years -- two, three years to build reference accounts, which is our next step in '19 because we don't want to rush it because and trying to get a little bit of GTV here or there, we don't want to displease customers who -- this is going into their ERP system. It's getting them to feel comfortable. Think of what it's like, it's -- the analogy is like Intel inside. We're actually going into their house. So when you do that you got to build trust. So it's going to be a long-term thing. But I think once you get it starts becoming a recurring stream of both SaaS-based income but also transactional volume.
Larry De Maria: Got it. Thank you.
Operator: Your next question comes from the line of Maxim Sytchev with National Bank Financial. Your line is open.
Maxim Sytchev: Good morning. Sure, I was wondering, if you don't mind maybe sharing your thought process around the cost of service in Q4 how we should think about it relative to the very good or lack of growth that you posted in Q3 on that metric?
Sharon Driscoll: Sure, Max. That's -- clearly a deep reduction in the number of auction events has a big impact on the cost of services line. And so as we build more scalable events, you get to save on cost lines like marketing two events versus one. So that's what's driving some of that efficiency. The other thing that you'll see is we do put our inspection costs in that for our online inspection for both weekly featured auctions and Marketplace-E. And sometimes that work ends up falling into a different timing from when that equipment actually sells. We receive the inspection revenue to cover those cost, but the actual GTV and larger revenue transaction comes at a different time depending on the yields of those events. So really inside of the quarter again it was just -- it was a small quarter with the number of reductions in auction events and activity. That's really what drove that improvement in the cost of services line.
Maxim Sytchev: Right. But, so for Q4 we should not expect a year-on-year decline in that metric, right?
Sharon Driscoll: No. I think that this is really more of an anomaly. We do look at those services internally that they do generally go on a relative rate to GTV. So you'll see it. You should see it come in at a lower growth rate than what you would expect agency proceeds to be. But similar to GTV expectations.
Maxim Sytchev: Okay. That's very helpful. And then, someone give us help on how should we think about taxes especially in 2019?
Sharon Driscoll: Yes. Our previous guidance was 20% to 23%. That's really unchanged really what you've seen in the current quarter was just a one-time kind of event that made our kind of 17% effective rate in this quarter. But we're really still kind of on what I would see to be a path for kind of future quarters to be in that 20% to 23% range, what I would call out is that there is a lot of information that still needs to be disseminated related to the U.S. regulations and the tax change that happened a year ago. So there may be a little bit of volatility as new information comes to light either favorable or not favorable. But really it's -- it is a very dynamic tax environment internationally. And I think we've done a very good job of kind of planning and structuring the company and I'd say the 20% to 23% rate is a continued outlook that we'd have for 2019.
Maxim Sytchev: Okay. That's helpful. And then Ravi, as you do obviously a much better job in terms of addressing the strategic accounts. Do you mind maybe sharing your initial thoughts around, so the total addressable market that you think you might penetrate for these types of clients over the next couple of years, it was possible?
Ravi Saligram: Rather than quantifying our dollar term on that Max, we've already identified about 800 new accounts that they're going after the strategic accounts team is going after, we have already made good progress with about 190, so we just giving you a sense that's why we've been able to deliver the growth. Our strategic accounts team is doing a very good job and now they've also got other products not just the live auction, but they've got -- FE, but also now RB Asset Solutions. RB Asset Solutions the biggest place right now will be driven just by the strategic instrument. And so a lot of strategic accounts in the past might not have considered us because they didn't want to be in the transactional piece like a live option or they would have felt, hey, that's a bit unsettling for us. Now with RB Asset Solutions it creates a different kind of viewpoint saying you can do things on your own but you can leverage just that whole Intel Inside thing. So I think there is still -- I'm very -- I feel pretty good about our strategic accounts. New account initiatives there. They're on a roll. Recognizes a longer lead time and strategic accounts because it's these accounts take time to build a relationship to get there. But once you get it, it's actually a pretty good one because there are recurring businesses. And when you see that number I gave earlier that 57% of our loyalty customers', strategic accounts is definitely an integral part of that. So I hope that helps Max.
Maxim Sytchev: Right. And then, I know it's a bit of a stretch, but is it fair to say that going from 190 to 800 accounts that you can basically do it with the existing workforce or is there going to be commensurate scalability from a labor participation perspective as well?
Ravi Saligram: I get the 190 to 800, can you repeat the last part of the question. Yes. Do you really ne3ed to scale more people or…
Sharon Driscoll: Yes, exactly. To be able to eventually hit the 800 accounts?
Ravi Saligram: That doesn't mean much at all 800 is the target, that doesn't mean we will hit all 800. Because there's always how much did you convert, you see mistake. And we didn't start life on these 800. This year we've been working on it for now ever since the supply constraint started. So we started the initiative it takes time. But I think we will -- if we make investments on Sam's strategic accounts manager, [indiscernible] we are and if we think that's what's needed, we will make it because that's very important because I firmly believe that any investment in a territory manager or Sam is a good investment as long as they're productive. And they are seeing that productivity is improving now overall for the company. So but that's a pay as you go. So you stop getting it, but I think with the teams we have, I think we've got -- we've still got room to grow to continue to drive growth with just the existing two versus having to a lot of people right after that.
Maxim Sytchev: Okay. Thanks very much.
Ravi Saligram: I have something to add on that.
Sharon Driscoll: Max I think the way to look at it is because it is selling a software as a solution element the potential investments that you might see that hit SG&A would be integration related costs to connect their businesses with the technology and that we would support and then perhaps some inside service support to manage the technology to support our equipment base sellers with the service aspect required to support a software solution.
Ravi Saligram: And in that regard Max, we've already taken so far Mascus people in the U.S. are helping their hub because they are used to this also they're helping load ready on the harbor assets solutions, but we may need a different type of salesperson. They've been already on the RB Asset Solutions but remaining to add different type of sales person and [indiscernible] more like sales engineers who can help us share and point about the benefits of that. But those are -- we're not talking about 20 people, 30 people, that's a few. That's why we said you may need to make some investment. So fine, I think with this let me conclude our call, I just want to make one final point. I used the word kill rate and yield which may not be familiar to all of you on marketplace because it's a reserve option. We need the things listed and yield is essentially of the GTV amount. What percent of the listed actually contracted kill rate is the number of line items how much transacted we're working on continue to improve this. So if we improve it as we market and build that ground. That'll also help GTV because if we get that conversion of listing for transactions that'll also help you to do. So with that once again, thank you all, and I want to thank our teams again for all their hard work downwards and upwards. Thank you, everyone.
Operator: Thank you everyone. This concludes today's conference call. You may now disconnect.